Jussi Pesonen: Ladies and gentlemen, welcome to UPM's Fourth Quarter and Full Year 2018 Result Webcast. My name is Jussi Pesonen. I'm the CEO of UPM. And I'm here with our CFO, Tapio Korpeinen.
Tapio Korpeinen: Hello, everybody.
Jussi Pesonen: Ladies and gentlemen, 2018 was a record year for UPM in many respect. Our sales grew by 5% and comparable EBIT increased by 17%. Our cash flow was strong and our net debt fell below zero. Last year was a commercial success, sales price has increased in all business areas and we succeeded in mitigation the significant input cost increase. We let the groundwork for the future growth in our current and innovative new businesses and we received exceptional recognition for our responsibility performance. All these demonstrates the impact of many years' transformation and hard work. UPM is in strong position as well as it concerns start of this year 2019. As you know during the Q4, there were a lot of discussion on the uncertainties and slowing growth rates of the global economy. For us, this was also visible in some destocking in various value chains for our products during the fourth quarter. But however, our fourth quarter volumes were solid and we delivered a strong fourth quarter. Our sales grew by 6% and comparable EBIT increased by 10% to EUR 404 million. Ladies and gentlemen, this was the 23rd consecutive quarter of earnings growth. But at this point, I will hand over to Tapio for more analysis of the result and then we will come back on the growth projects. Tapio, please.
Tapio Korpeinen: Thank you, Jussi. Here you have, see the analysis of the profit drivers on the left hand side year-on-year, and then on the right hand side, sequentially fourth quarter vis-à-vis third quarter 2018. And first on the left hand side, you see that the positive impact of the higher sales prices across all businesses continued to be clearly larger than the negative impact of the increased variable costs. And here right away, I would just note that it's good to remember given that given our operating model that the impact of pulp prices is felt on this chart both on the green sales price bar and this orange variable cost bar, because the variable costs includes pulp as a cost for our paper businesses and in fact of that variable cost increase about half is due to higher pulp cost. Obviously then also higher pulp cost as of higher power prices have benefited our pulp business in by refining. The earnings impact of delivery volumes overall was neutral in the fourth quarter, which was actually an improvement compared to the earlier quarters where delivery volumes represented a minor headwind for UPM earnings. Fixed costs increased year-on-year, partly due to somewhat higher maintenance activity in several businesses. And so on the right hand side, you have the sequential comparison. There, fixed cost increased by EUR 69 million from the third quarter. UPM's fixed cost including personal costs, maintenance costs and other fixed costs are seasonally the highest in the fourth quarter and also the lowest in the third quarter. Then on top of that in the fourth quarter, we carried out the scheduled maintenance shutdown at the Pietarsaari pulp mill. All in all, sales margins on UPM level where stable from the third quarter to the fourth quarter. Sales prices across our businesses had a small positive contribution to comparable EBIT. Variable costs where on the same level as in the third quarter. In the third quarter, our energy costs were higher, due to the turbine damage at our Plattling paper mill and in the fourth quarter, the plant was back in operation. Changes in delivery volumes had a small positive impact on EBIT. Then looking at the quarterly development for the six business areas. First of all, Biorefining had an excellent quarter. Our pulp deliveries resumed growth growing by 4% year-on-year and 5% sequentially, despite the Pietarsaari mill maintenance shutdown. The average pulp price decreased by 1% from the third quarter and was 18% higher than in the previous year. Biofuels continue to operate on a new level, higher level of profitability and output, which was achieved after the turnaround shutdown in the second quarter. Communication Papers increased its earning slightly both year-on-year and sequentially, despite steadily declining market demand and high variable costs. The average paper price increased by 1% from the third quarter and was 11% higher than in the previous year. Also Energy increased its earnings slightly. The average electricity sales prices were 20% higher than in the previous year. However, hydropower volumes remained low due to the very dry hydrological situation limiting our generation volumes and earnings potential. Raflatac resumes sales growth in the fourth quarter mainly driven by price increases. Delivery volumes were on par with the previous year. EBIT decreased as the quarter was still impacted by variable cost increases and seasonally higher fixed costs. Plywood enjoyed good demand and was able to fully offset the higher variable cost with price increases. However, our fourth quarter deliveries were 8% lower than in the previous year held back by political strikes in Finland. For clarity, these strikes were directed against the Finnish government policies not to UPM. EBIT increased sequentially, but was lower than in the previous year. Specialty Papers had a disappointing quarter. In the Asian fine paper business, margins continue to be under pressure as destocking in the value chain continued to pressure prices and pulp costs remained high. However, good demand continued in the label paper and release liner businesses. Here we have the financial KPIs for the full year 2018. And as you see, already said, we reached record earnings and our net debt fell below zero ending the year at the net cash of EUR 311 million. Page 6 shows the realized returns of each business area compared with the long term return on targets. Four of the six business areas exceeded their targets in 2018 and Energy came close. Biorefining achieved ROCE of 26.6% mainly driven by the favorable pulp price. In Communication Papers, the free cash flow return was 15.3%. The two previous years benefited from significant working capital releases and some asset sales that did not take place this year. The normal return or conventional return on capital employed for Communication Papers was 16.5%. Specialty Papers did not reach the target achieving 10% ROCE. The main reason is the thin margin in the Asian fine paper business in the second half of the year. I am going [ph] to say here still that the energy ROCE was close to the target even if the fair value of the energy shareholdings increased by EUR 183 during the year. Here we see the Group financial performance and long term targets. UPM aims comparable EBIT growth in the long term and 2018 was the 6th year in a row where we achieved this target. We target comparable return on capital employed - return on equity, sorry, of over 10%. Last year, we reached 12.9%, 1 percentage point up from the previous year and the net cash of EUR 311 million was already mentioned. Here we have operating cash flow and free cash flow. Operating cash flow in 2018 totaled EUR 1.391 billion, which was EUR 167 million lower than 2017. Working capital increased by EUR 209 million during the year, whereas in 2017, we had a decrease of EUR 91 million. So working capital changes represent a EUR 300 million difference between the two years. There are two main reasons for the increase in working capital in 2018. First, the higher prices of UPM products and raw materials tied up more working capital. And second, our wood inventories at the end of 2017 were unsustainably low, because of the weather related wood harvesting and logistics difficulties. This year, we had no such difficulties. In the fourth quarter, our operating cash flow increased to EUR 420 million year-on-year including a EUR 29 million release from working capital. And here we have the dividend proposal. UPM's Board of Directors yesterday proposed a dividend of EUR 1.30 per share for 2018. This represents an increase of 13% from the previous year and 50% of operating cash flow per share. The proposal which is above company's long term dividend policy range of 30% to 40% reflects your UPM's exceptionally strong financial position and confidence in future cash flow generation. And Page 9 shows our outlook for 2019. As a starting point, we expect the global economic growth to continue in 2019 albeit at a slower pace than we saw in 2018. We do recognize that there are significant uncertainties outlined on this slide that may have an impact on the economic growth in different regions and on UPM's product and raw material markets during the year. All in all, we expect the UPM's business performance to continue at a good level in 2019. We expect favorable demand to continue for most of UPM businesses. Demand decline is expected to continue for Communication Papers. In the beginning of the year 2019, pulp prices are expected to be lower and graphic paper prices in Europe are expected to be higher than in the fourth quarter of 2018. Input costs are expected to stabilize after the significant increase is seen in 2018. Finally, fair value increases of forest assets are not expected to contribute meaningfully to comparable EBIT in 2019. This is reflecting the change in accounting policy for forest renewal costs, also less forest sales for this year compared to the previous year and the underlying operations. And now I'll hand it back over to Jussi for some comments on our growth projects.
Jussi Pesonen: Thank you, Tapio. In the coming years, UPM seek significant growth in three focus areas, pulp business, specialty packaging materials and molecular bio products. These spearhead have two key factors in common. First, they all have an attractive long term growth outlook, supported by global mega-trends, all of them provide sustainable solution for the growing and changing consumer demand. And secondly, UPM has a unique competitive position and sustainable competitive advantage in each of these. There are also clear barriers to entry. We are growing in the specialty packaging business area in Raflatac and Specialty Papers mainly through focused growth projects. The potential new pulp mill in Uruguay would be a large growth step for pulp business but also for UPM earnings. The molecule business, biofuels and biochemicals could provide a large new growth platform for UPM for the coming years and decades. The whole case is about replacing fossil based fuels and chemicals with the much more sustainable drop in alternatives. If we can do that in the competitive way, the market potential is huge. In the biofuels, we have already succeeded well in our market entry with our first refinery Lappeenranta. In Uruguay, preparations for potential new world-class pulp mill are proceeding. The familiar slide reminds you of the main items that we have - we and the government of Uruguay are working on. The implementation of the investment agreement between us and the government is currently in the intensive phase where tangible progress in the infrastructure initiatives is required. For our part, we announced in January that UPM is taking part in the public tendering process in the port of Montevideo. Ladies and gentlemen, if the ongoing second preparation phases concluded successfully, we will initiate the regular process of analyzing and preparing then investment decision on potential pulp mill project. Concerning our Biochemicals, we continue the basic engineering work for the potential first industrial scale biochemicals refinery in Germany. This would represent our entry to chemicals and chemicals market in commercial scale. In biofuels, we have completed the environmental impact assessment for the possible biorefinery in Finland, the refinery would represent scaling up the biofuels business of our current biofuels business building on success of the Lappeenranta refinery. 2019 will be an important year for these prospects pointing us into the future. Page 14 shows the current list of focused growth projects. During the fourth quarter, we complicate the release liner expansion at the Specialty Papers in Jämsänkoski. In January, we completed the specialty label expansion at Raflatac Tampere factory. The biggest current focused investment is the conversion of the Nordland paper mill two fine paper machine the release liner to be completed in Q4 this year. We are also growing in the Plywood and Energy businesses with focused investments. As the latest project we have today announced an expansion over one of our hydropower plants increasing our renewable and flexible hydropower generation at Kuusankoski. Ladies and gentlemen, now I would like to summarize our presentation before the questions. UPM delivered the record earnings in 2018 and we are in strong position for 2019. We recognize there are significant uncertainties in the global economy. We expect UPM's businesses performance to continue at the good level in 2019. We continue to work on our transformative prospects aiming for significant long term earnings growth. The proposed dividend increase of 13% which is actually a reflection of exceptionally strong financial position and our confidence in future cash flow generation. With these words, we conclude the prepared part of the presentation and we are ready for questions. Dear operator, we are ready for the questions.
Operator: Thank you. [Operator Instructions] Okay, and our first question comes from the line of Mikael Jafs from Kepler Cheuvreux. Please go ahead, your line is now open.
Mikael Jafs: Thank you so much. Congratulations to the 23rd consecutive profit growth. I've got two questions. You are pointing to lower pulp prices there in the beginning of the year, do you have any update for us what has been happening during the past few weeks in China, have prices continued down or do you see a flattening out there? And then the second question would be around the paper pricing, where you are pointing to higher prices in Europe I guess, is that a risk that it will speed up than ongoing secular demand decline in paper if prices that now have actually been rising since last year, continue up? Those were my two questions, thank you.
Jussi Pesonen: Obviously, we are not forecasting any of the weeks you know, I don't even have exact numbers for the - what has been the last weeks of pulp business. That is quite clear that the pulp volumes have been moving in Asia much more than that of by the end of the year. We will see how the prices will develop but volumes have been moving. Paper prices, I think that the kind of our trend decline will be somewhere around 5% across all products. And I do not see that you know the price increase will speed up the pace of decline. The kind of reasons for declining markets are somewhere else.
Mikael Jafs: Okay, many thanks.
Operator: Thank you. Our next question comes from line of Antti Koskivuori from Danske Bank. Please go ahead, you're line is now open.
Antti Koskivuori: Thank you and good afternoon. I would also have two questions. First on variable costs that you in your comments, you say that you expect variable cost stabilizing in 2019. Just to clarify, this quarter actually that you see variable cost in 2019 at the same level as in 2008 that would be - and also including the extraordinary cost from the difficult harvesting conditions in early 2018? That would be the first question. Then secondly on maintenance cost in 2019 versus 2018, at least from your published schedule, it seems that the maintenance program during this year seems to be quite a lot lighter than it was in 2018, is this the right call for that?
Tapio Korpeinen: Yes, I'll answer first on the variable cost. So again like we saw in this analysis of the quarterly result sequentially from third quarter to fourth quarter then the variable cost impact was nil already there. So basically it shows what we have discussed here earlier as well that we saw most of the cost increases to happen. In the beginning of last year and now we are at a sort of much more stable trend going into next year - going into this year, yes, we are already in 2019. And then at the same time, yes we did have issues with the wood supply in the first quarter but still we did start last year with lower variable cost base. So year-on-year, what the kind of average will turn out to be or the total sort of impact will be affected by that to some extent. But again I think the big picture is that let's say we will have pretty sort of stable overall variable costs going forward from here. And then on the maintenance cost, you're right that we did have more maintenance activity both in the pulp business and then the turnaround shutdown in the biorefinery in Lappeenranta in 2018. So those then mean that from the major maintenance shutdown, the fixed cost will be lighter this year.
Antti Koskivuori: Any guidance on the zero months [ph], how much less that will be in 2019?
Tapio Korpeinen: Well, let's say nothing else than the kind of rule of thumb that we have discussed here earlier that for the pulp mills. You can calculate roughly 20 million for the kind of the bottom line impact for the big pulp mill shutdowns.
Antti Koskivuori: All right, thank you very much.
Operator: Thank you. Our next question comes from the line of Harri Taittonen from Nordea. Please go ahead, your line is now open.
Harri Taittonen: Yes, thank you and good afternoon. Looks like the inventory cycle and you also referred to destocking affecting the business environment and pulp inventories are clearly on the high side. But where do you see the levels in the paper business in Europe, do you see the sort of destocking necessary in Europe too or is this more sort of confined to power plant in Asia in your view?
Jussi Pesonen: I would say that it's more an issue in Asia and reflecting or related to pulp.
Harri Taittonen: So in paper, there is no unusual amount of inventories in as you see?
Jussi Pesonen: Not as far as we have right now.
Harri Taittonen: Okay. The other question is about your indication about higher prices and seems that the industry has been successful in raising prices for January, but typically how long are those contract or could you give some sort of feel of this plate on how much is for quarterly basis and is there sort of a part of the volume which would be locked in for the first half of that year?
Jussi Pesonen: I do not anymore have that figure you know on top of my head, but you know typically in this that we have a lot of you know contracts that are you know quarterly and half year and then sell them annual contracts, but that's the name of the game. Of course fine paper is typically quarterly price and then magazine or publication papers is more on the nature half a year plus one year contract.
Harri Taittonen: Great. Okay. Thank you very much.
Operator: Thank you. Our next question comes from the line of Kevin Hellegard from Goldman Sachs. Please go ahead, your line is now open.
Kevin Hellegard: Thank you. I just wanted to ask sort of a follow-up question on your Specialty Paper. As you just highlight yourself, we've seen pulp prices coming down. If you could give any feel for the lag that feeds through into giving lower cost into that division and maybe also give an update on how the selling price of both Specialty Paper on the graphic paper has developed in China?
Tapio Korpeinen: Well, let's say on this lag, you can say roughly sort of one quarter before you see the impact on the bottom line in the business as far as the pulp prices concerned.
Jussi Pesonen: And if I take the price question, you know obviously the specialty papers, specialty part i.e. the release liner and the phase paper of the labeling business, paper businesses has had the positive outlook for the prices. Whereas we have seen in China, graphic papers ever since was it early second quarter last year where it started to see the declining paper prices. That are at least at this point of time, more stable, but I will tell how it goes.
Kevin Hellegard: Okay. And then maybe just a quick follow-up also on the pulp division. You did quite well in terms of volumes as you highlighted yourself. Do you see any change in volumes into 1Q like I know you have your maintenance coming back but sort of underlying value, has there been any sort of buyer strike because of the declining prices?
Jussi Pesonen: I think that we are actually quite long term supplier of pulp you know. Too many of our customers, we are having I'd say, we don't have a third party sales. Basically our volumes are quite nicely allocated in different businesses and in different segments and in different regions. And therefore, we see a quite positive outlook for the volume allocation, it is concerning Europe, it is concerning Latin America - sorry - the Asian market and also our domestic markets. So basically we do have investments that we have debottlenecking investments that we did earlier, a couple years ago, we have some potential.
Kevin Hellegard: Excellent. Thank you very much.
Operator: Thank you. Our next question comes from the line of Mikael Doepel from UBS. Please go ahead, your line is now open.
Mikael Doepel: Thank you. Good afternoon, gentlemen. I have a couple of questions, staring of with Uruguay or the project there. As of today, do you have a better view of what the total cost of the potential investment that could mean for UPM and also in case you are moving to phase 3, how long would you expect that based to take? That would be my first question.
Jussi Pesonen: Maybe to clarify your thought that do you mean that phase 3 would be a preparation for the decision or is it the full project. The project will last for 24 to 30 months when it is, the final investment decision is done. And we do not have any better figure for the mill cost more than that of EUR 2 billion for that investments. So basically that this on the level that - that level we have at this stage.
Mikael Doepel: Yeah, I was mainly thinking if you - I mean there are some other costs also related to the pulp mill I guess on top of the actual mill, they're referring to that's when if you had any better view on how much it's going to cost you?
Jussi Pesonen: Yeah, I guess that we are everyday actually a bit more aware of all of, but this outside of the pulp mill as well and but I do not have a figure for you at this point. But of course, we internally have a better view on that as well.
Mikael Doepel: Sure. Okay. Then moving on to China again and the specialty paper division there which has seen quite steep declining in earnings and I know that you also write in your report that you want to restore the profitability in that division. What kind of means do you have to do that then when would you expect to be able to restore the profitability in that division?
Jussi Pesonen: No, this is a multiple actions. First of all, of course we need to sharpen our commercial strategy or commercial tactics or commercial actions that we take on that. Then if you remember, in our Capital Markets Day, we were and we have been saying that over the years, we move out more to the specialties on that mill. We are preparing that kind of actions as well through the product development to produce more specialties in Changshu. Then there are fixed cost initiatives, there are better able cost initiatives, you name it, there are quite a lot of - there's a long list of actions that we take.
Tapio Korpeinen: We eventually - of course this investment that we have underway in Changshu to add capacity to the third paper machine as far as label paper consumption is concerned then that takes us away from this graphic paper market which has been the main issue in our recent days.
Mikael Doepel: Okay. Many thanks.
Operator: Thank you. Our next question comes from the line of Alexander Berglund from Bank of America Merrill Lynch. Please go ahead, your line is now open.
Alexander Berglund: Thank you very much. I have a question on the divergence we're seeing between graphic paper prices and pulp now into Q1 and kind of thinking a bit longer term. I know you don't want to forecast, but I also know you always monitor kind of the marginal cost of all the producer. So given the pulp prices are coming down, now from your experience, I mean I guess the marginal costs will come down and do you think that current pulp prices, there is still is kind of cost curve support for graphic paper prices?
Jussi Pesonen: Well, I'd say of course there is a different picture on that depending on the type of paper that you're talking about. If we start let's say from the specialty paper and label papers in practice, all the main competitors are unintegrated as we are on our paper making operating model. So in that sense, the kind of main fundamental always has been in that business is the competitiveness of the paper operations and there we have a cost advantage that is lasting. Then if you're looking at publication papers, there the significance of pulp price is much less. And if you're looking at let's say fine papers in Europe, there is still some integrated capacity that doesn't sense get impacted by the pulp prices here. So in that sense, I would expect that we can continue to sort of maintain our cost advantage compared to the marginal producers in the paper business.
Alexander Berglund: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Justin Jordan from Exane. Please go ahead, your line is now open.
Justin Jordan: Thank you and good afternoon, everyone, I've got three types separate questions. Firstly in communication papers in Europe, people have - some of your peers have talked about price increases achieved or so you announce from Q1, 2019 across your portfolio of Communication Papers. Could you give us some indication of price increases that you have achieved from January 2019 onwards? Secondly, can we just talk a little bit about the potential transformation projects? I just want to know we could do Uruguay to task, but I'd love to talk a bit a little bit about the German biochemical refinery because can you just remind us of a timeline for a potential decision on that, I thought it was spring 2019, but I'm just wondering if you can be a little bit more time specific on that? Thank you.
Jussi Pesonen: Thanks. When it comes to Communication Papers, across the board, across the products in our publication and the Communication Papers, we are talking about the low single-digit number somewhere 3% to 4% on average across the border in different areas and different businesses. Then the biochemicals, yes the biochemicals we are having the kind of detailed engineering ongoing on that business. We have not set clear timeline when the decision is made. We have three projects ongoing, our prospects ongoing in UPM and of course we are then trying to time them in a way that all the resources and all the needed things are in place when moving on even if they are not clearly all overlapping when it comes to resources or even business areas. But obviously Uruguay is a large one, the largest ever made prospect that we have in our mind. And then of course these two are very interesting. I will tell when we are getting into the final investment decision phase but that remains to be seen.
Justin Jordan: Okay, thank you. Just one quick follow-up on just on pulp at a group level clearly, biorefining, you've produced just 3.5 million tons of pulp in 2018. Can just remind us on - equally on the group level, your net long position because I appreciate you're a big pulp consumer shall we say or buyer within Communication Paper, Specialty Papers, Raflatac et cetera. Just remind us what the net long position is of the group level, please?
Jussi Pesonen: I might take this because I'm so favored always to answer this, because I've always said I don't know but now I know, it is around 700,000 tons.
Justin Jordan: Okay. And just given that sensitivity, I appreciate there will be as you've discussed quarterly lags in terms of pulp price movements impacting raw material costs in Communication Paper or the paper consuming - sorry - pulp consuming divisions. But on a - can you just give us a sensitivity to UPM EBIT for example of 10% pulp price move, I believe historically it's been around 50 million or so to EBIT but is that number changed slightly?
Tapio Korpeinen: Well, maybe slightly up around EUR 50 million or so given let's say the long - but it is EUR 700 million that Jussi mentioned. But that sensitivity analysis you'll find in the annual report.
Justin Jordan: Thank you.
Operator: Thank you. Our next question comes from the line of Lars Kjellberg from Credit Suisse. Please go ahead, your line is now open.
Lars Kjellberg: Thank you. I just wanted to stay with pulp for a second. Clearly you had significant disruption certainly in the first half that link it into the third quarter, just kind of look at your capabilities now, how much incremental pulp do you think you and fairly could be able to supply to the market which would benefit your P&L in pulp in 2019 over 2018?
Tapio Korpeinen: Yeah, if we maybe, Lars, I take it. You know our kind of announced pulping capacity somewhere of 3.8 million tons, so if the delivery of 2018 was well 3.5, so that's around 300,000 tons.
Lars Kjellberg: Okay. So it's not represented in the fourth quarter volumes as except number, we can come look that and say that that's kind of what you're going to be producing going forward?
Jussi Pesonen: I do not - I don't know if Tapio have the number for fourth quarter. But like you know as I said that our kind of official capacity is 3.8 and the leverage for the full-year was 3.5. So that was the conclusion that we came to 300,000 tons.
Lars Kjellberg: Got it. In terms of the fair value, it was commented that you don't expect any meaningful such contributions to EBIT in 2019. Help us out a bit, what does that really imply you, do have a cost increase the fair value, but still clearly your growth I would assume would exceed your cuts. So why wouldn't we continue to have some sort of normalize fair value benefit in the EBIT line?
Tapio Korpeinen: Well, let's say there is couple of points there. One is that again this sort of accounting change that we announced already earlier in terms of how we treat the forest establishment costs both in Finland and in Uruguay which means that particularly in Uruguay where we obviously have been now planting more than what we are cutting as we have been building the critical mass for the plantation base for the new mill there that has meant a positive change in the fair value. And now that impact is less because of this accounting change. Second point is that, so perhaps remember we have been selling some forest estates here in Finland as our footprint has been changing in Finland and that kind of let's say more significant sales of forest this states will no longer be expected. That has given some rise for fair value increases in our annual accounts. And then finally, let's say in this sort of ongoing operations, we expect less of an impact particularly as of in part because of the fact that we now made adjustment to the valuation of our Finnish Forrest value here based on let's say updated figure on the forest growth. So all that - all together then means that sort of impact will be much less than what we have seen during the recent years.
Lars Kjellberg: Can you try to give us any guidance that would be really helpful [indiscernible]?
Tapio Korpeinen: Well, let's the difference can be somewhere between EUR 60 million to EUR 80 million.
Lars Kjellberg: Thank you. Just had two more questions for me. Raflatac in comparison to Avery Dennison seems to be not doing that well. What's in your view as driving your decline in this business, is that just that you've been lacking to recover pricing costs or and if I look at Avery Dennison's numbers, they consistently going up and had a strong performance again in Q4. Are there any market differences or different pricing mechanics at play or what would you believe is the reason for this relative underperformance of your present?
Jussi Pesonen: Lars, I have not seen Avery's numbers unfortunately. I know that they came out yesterday, but I have been at least - I don't know if Tapio has seen, but I haven't seen the Avery numbers. Obviously, we do have some internal measures as well to be taken to improve the profitability, but of course we are different company, comparing to Avery, where our market position is different in Europe, North America and Asia as well, so that could be one of the reasons. I have no knowledge of where, how it has been in Avery. I need to look at that more in details.
Lars Kjellberg: Okay. Let me rephrase for you that question. They basically say that they were pretty much done with the cost price recovery. Do you still have a cost recovery to do in the beginning of 2019 before you catch up with rising raw material cost?
Jussi Pesonen: I think that we need to actually get our efficiencies up and then they added value as well. And I guess that we are working around that as well. On the commercial front, in our cost basis and of course the segments, when it concerns like that in Raflatac, there are films, there are specialties and then the paper labels and that is something that we improve and take in fully use our investment in Poland. So there's a lot of activities going on to turn around that trend.
Lars Kjellberg: Very good. Finally, I just wanted to hear if you can give us any color on what you mean by good level, it was a comment that we had expected that, does that mean level or slightly up or slightly down or anyway in between in terms of your profitability expectations for 2019 versus 2018?
Jussi Pesonen: No, I'm afraid. We don't have any sort of more guidance to give then what we have in the [indiscernible]. But again, we had a record year in 2018. I think the business is overall are performing well. We know whether challenge is live, we have discussed those today as well. So we look forward to a good level this year as well.
Lars Kjellberg: Very good. Thank you.
Operator: Thank you. Our next question comes from the line of Markku Jarvinen from Handelsbanken. Please go ahead, your line is now open.
Markku Jarvinen: Yes, good afternoon. A couple questions from my side. On the investments, you said that you've completed Environmental Impact Assessment at Kotka. Could you sort of give a bit more color on what the current focus is there on that investment?
Tapio Korpeinen: Like typically when the environmental impact studies done then you are starting to put more focus on the kind of detailed engineering and the specifics to get the kind of level of investment requirement into the level that you know you are approaching to the final decision, investment decision of obviously you work a lot on the markets, you work a lot of on the kind of regulatory, well that how do you see long term regulatory work moving on. There's plenty full of topics that we work on raw materials and how to build the own material base for the mill. There is a plentiful of things that are now moving on.
Markku Jarvinen: And do you want to give a sort of timeline what, how long will this phase take, do you have an idea of that?
Jussi Pesonen: No, we are not disclosing that at this point of time.
Markku Jarvinen: Okay. Then on the Uruguay investment, you said that you are tendering for the port terminal. Should we expect the sort of return on that potential investment to be in line with the targets set for by refining?
Jussi Pesonen: I think that it will be you know a huge kind of part of the success of the mill you know. If you think about them, pulp mill that is world class. And one of the most profitable pulp mills the inbound and outbound logistics is crucial for that and building or being part of building the kind of being part of the whole concept you know a deep sea harbor with efficient operations handling pulp, I think that it will have a great return for the whole Uruguay operations, not only for the new entity but also for the present operations. So that will be definitely one of the key cornerstones of the cost efficient concept.
Markku Jarvinen: Okay, thank you. Then still on the Specialty Papers in China, I suppose your interpreter corrected the problem is mainly with uncoated wood free business from Changshu and are you planning to gradually exit that business and are there some sort of other options for the PM1 at Changshu?
Jussi Pesonen: That is absolutely correct. This focused on that you know graphic papers i.e. the uncoated paper, fine papers in Changshu. And like I said that we presented in our Capital Markets Day material that gradually we are moving away from standard products to more specialties. That is absolutely correct.
Markku Jarvinen: And what are those more special products that it will produce?
Jussi Pesonen: They are related to what we do today and also there are some new ideas as well.
Markku Jarvinen: Okay, good. Then just on the accounting change that you're doing, at least historically that has a bit of an impact on your operating cash flow. Do you - so you need to refine your dividend policy based on that?
Tapio Korpeinen: No, we have actually sort of multiple accounting changes as you know. The IFRS 16 for leases but then also this treatment of the forest renewal costs which both have impacts on cash flows. And actually based on that the operating cash flow figure change won't be such that it would kind of make us make any changes to the dividend policy as such or the metrics for it.
Markku Jarvinen: Okay. Do you expect to publish any further pro forma information on this before Q1 or is this sort of based on what you released?
Tapio Korpeinen: It's based on what I think what we have in the quarterly release.
Markku Jarvinen: Okay, good, thank you.
Operator: Thank you. Our next question comes from the line of Saul Casadio from M&G. Please go ahead, your line is now open.
Saul Casadio: Hello, hi. Thanks for taking my questions. I have a couple. The first one is on the acceleration of the decline of graphic paper demand that we've seen in Europe in Q4, at least judging by the graph of data for October and November, I was wondering whether - what are the drivers for this decline, what you're seeing in your markets? And the second one is about the CapEx. Potentially allocated to the investments in the two biorefineries, if you already have a number that you can share with us just of a sense of the potential investment?
Jussi Pesonen: Yeah, first of all, I wouldn't draw any conclusion out of one or two months declining. As I said in my beginning words that there has been some destocking in many areas maybe not that much on paper. In paper side, it's - I do not draw any conclusion especially what I see already today. You know I think that our best estimate for 2019 would be on our trend level of decline across the paper products which is roughly around 5% level. And CapEx, we have not disclosed any kind of frame for the biorefining businesses i.e. the biochemicals or the biofuels business at this stage.
Saul Casadio: Okay. Can you share with us whether that will be a greenfield investment or basically the conversion of an existing refinery?
Jussi Pesonen: Both of them are going to be greenfield.
Saul Casadio: Greenfield. Okay. Thank you.
Operator: Our next question comes from the line of Robin Santavirta from Carnegie. Please go ahead, your line is now open.
Robin Santavirta: Thank you. Just going back to this biofuels project in Kotka. Could you share some information about the raw material you are planning to use? And also secondly relate to this, you said the environment of studies is computed, what is the key hurdle rate for this investment, is it commercial, is it technical or is it regulatory? And then finally related to biofuels, what is the profitability of Lappeenranta stage, is it roughly in line with the target for biorefining division or is it far below or far ahead?
Jussi Pesonen: Lappeenranta profitability is absolutely good and it is actually meeting. It is better than UPM average. If you take EBIT or you take the return on capital employed, it is better than UPM average. So we have been able to really turn that to a good business and volumes are already exceeding the nominal capacity. So basically that is in that shape. Hurdle, I think that I mentioned all of them you know they all need to be good you know, it's markets, it's a regulation, it is technology, we need to have everything right. There's no one that can be on that level that we need to meet all of those requirements. And then then finally, what was your third one?
Tapio Korpeinen: I can answer that one.
Robin Santavirta: Just on the raw material, what would that be for this?
Jussi Pesonen: Tapio will take that, yeah, sure.
Tapio Korpeinen: Yes. As we have described before as well basically we are looking into sort of broadening our raw material basis compared to the first plant in Lappeenranta. So looking into some new technology that would allow us to do that. So basically it would be a mix of would biomass coming from harvesting operations or from our operations, it would be liquid feedstock and there we have been experimenting with oil plant Carinata in Uruguay, which is a sustainable source of liquid vegetable oil that is not competing with food production. And then we can tap into other liquid feed stocks including crude tall oil which we are currently using in Lappeenranta. So it would be a mix and I said broadening the raw material base that we can then use in this would be able to use in this new plant in Kotka.
Robin Santavirta: Okay, can I just ask, if it's the rate is marginally the technology and the raw material. If that works all that's just my assumption. But if this mill works out and you plan to do it, would you have enough raw material be a restriction for broadening this platform of biofuels?
Jussi Pesonen: No, it won't be. And as like Tapio said, there will be multiple feedstock and therefore typically people are clearly considering only crude tall oil and crude tall oil will be less than one fifth of the possible raw material feed. So basically that what Tapio clearly stated that we do work and we have been working for years already to actually have a solid raw material base for the mill.
Robin Santavirta: Okay, thank you, that's very clear. And then just finally on this Olkiluoto 3 now apparently a plant we start it up in 2020, with this power prices, would it have a negative or positive impact on your P&L?
Tapio Korpeinen: I guess it depends on which power price you're talking, today or last year or this year. But I would say that but we have now seen it would have let's no negative impact rather on the positive side.
Robin Santavirta: All right, thank you very much. Thanks.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Mikael Doepel from UBS. Please go ahead, your line is now open.
Mikael Doepel: Thank you. I just had a couple of follow-ups. Firstly on the IRFS 16, which you partly described already in the report, but could you give some more figures on that what the impact will be on operating profit and profit before taxes? And secondly, on the plywood markets, could you just talk a little bit what you're seeing there in terms of demand and price trends? Thanks.
Tapio Korpeinen: Well, let's first on this IFRS 16, I think basically you have the figures in the quarterly release from which you can sort of estimate it or calculate it roughly. But as you know what happens is that operating laser cost has been above the EBITDA line and now it goes. So that part of it will be depreciation, which will be still part of the EBIT and smaller part will be then interest which is in the interest part of our financing cost, so below EBIT line. And you can get an idea of that if you look at the figures in the release that talk about cash flow impacts and EBITDA impacts.
Jussi Pesonen: And if I take the plywood, I guess that the plywood market is solely growing. And if you remember our main segments are transportation, construction and then the specialties like the LNG. We feel quite comfortable with that and prices have been rising to cover the cost of the raw material costs and we are looking forward you know in, our Chudovo mill, there will be expansion project which will be in operation in latter part of this year, which is the fourth quarter. And therefore we are looking for quite nice business going forward. Obviously that Chudovo expansion will be only visible for next year mainly.
Mikael Doepel: Okay. And you're not seeing any price pressure on that business right now?
Jussi Pesonen: My guess that you know it depends of various markets and various production know you course you sometimes see more and sometimes less. But basically we have had a very solid good you know market enterprises are rising as well.
Mikael Doepel: Okay, thank you much.
Jussi Pesonen: Ladies and Gentleman, thank you for your interest and see you next time.